Operator: Good morning, and thank you for waiting. Welcome to Cielo's Q2 2024 Earnings Conference. Joining us today are Mr. Estanislau Bassols, Mr. Filipe Oliveira, and Mr. Daniel Diniz. We'd like to inform you that this event is being recorded and live streamed via the Zoom platform and will be available for replay on the company's Investor Relations Web site, ri.cielo.com.br. Please note that the questions will be taken via audio on Zoom and will be answered shortly [Operator Instructions]. Before we proceed, we would like to clarify that any statement made during this conference regarding Cielo's business outlook, projections, operational and financial goals are based on the company's management's beliefs and assumptions, as well as information currently available to Cielo. Forward-looking statements are no guarantee of performance. They involve risks, uncertainties and assumptions, seeing as they refer to future events and, therefore, rely on circumstances that may or may not materialize. Investors and analysts must understand that general market conditions, the state of the industry and other operational factors may affect Cielo's earnings and lead to results which are materially different from those expressed in such statements. Based on the presentation published on the company's IR Web site, this conference is open exclusively for questions and answers, which will be preceded by a message from Mr. Bassols, the company's CEO [Operator Instructions]. I will now turn over to Mr. Bassols for his opening remarks.
Estanislau Bassols: Hello. Good morning. Thank you for joining us for our Q2 2024 earnings conference. Before we open for questions, I'd like to highlight the progress we've made in different areas of the company and some significant figures we're reporting. The second quarter of 2024 was an extremely important time in the company's history. This was when we began to reap the results of two years of hard work with signs of inflection emerging in various indicators. Our history has been defined by moments of significant transformation. One of the stages of Cielo's transformation agenda took place between 2021 and 2022. During this period, Cielo made major divestments, implemented zero based budgeting to reduce costs and sharpened its focus on the prepayment of receivables. The company also gained vital competitive capabilities for the business, such as pricing intelligence, which proved critical as we led the industry towards a new price balance in 2022. Another stage of this transformation, which began in 2022 and is still ongoing, led to more structural changes throughout the company. In this stage, we undertook a wide ranging review of the process that made Cielo more agile and customer focused and unlocked meaningful operational strategies. These changes have been consolidated in our Pra Cima Cielo program, which made it possible to create an organizational culture that's focused on innovation, teamwork and a constant search for improvement. By pursuing it, we have exchanged quick wins for both medium and long term effectiveness and robustness. To effect these changes, the company has entered an intensive investment cycle, which while pressuring our short term results, will push Cielo closer and closer to creating the best customer experience, which is so important in an industry as competitive as ours. Short term results were also pressured by a more challenging environment in the SMB segment. We've seen new competitors come into the fold, some moving up the pyramid and shifting their focus to the segment and the top players make major moves to expand their sales teams. We responded first by increasing our own commercial department. And in recent months, we have been working hard to increase these teams' productivity. The second quarter mirrors this trajectory. We started it under the pressure of the investments we've been making and ended it much better than we began, seeing results in many of the initiatives we've been accelerating with Pra Cima Cielo. After a downward trend in some operating indicators, we have noticed some leveling off and signs of recovery in recent months in several operating metrics. In the last two months, we've seen commercial production accelerate substantially and productivity gains were accompanied by healthier yields and greater penetration of prepayment products in recent [crops]. This confirms we are on the right track, seeking to resume growth, but always reconciling that with the generation of value for shareholders. Despite our investments, we were able to explore new efficiency opportunities, and again, expenses grew below inflation despite the sales team expansion and the outlays in Pra Cima Cielo. We are also reaping the results of investments in our product and technology department. Our time to market is at an all-time low, down 70% from the same period last year. This has translated into new solutions for customers, improvements on tap on phone or automatic receipt feature and now in D1 and our urban mobility solutions. I think it's clear to the market that Cielo has been more active in launching new solutions. Just as important is our ability to rapidly evolve our portfolio with incremental changes in customization capabilities that make a difference in our customers' lives. We have made a lot of headway on this front. In some cases, such as e-commerce, we've managed to reconcile growth and productivity by moving away from price discussions and focus on how to create value for the customer. We are aware of the company's challenges and the complexity of our market but the latest results make us confident that we are on the right track. On the 14th of this month, we may see new directions for the company depending on the outcome of the OPA bid. But I'd like to stress that I see the company as more agile and able to adapt to any scenario and overcome the challenges that lie ahead. I'd also like to reinforce the commitment of our entire team's strategic planning and say we are confident in the opportunities we see ahead. On that note, I'd like to thank our team for their dedication and our clients, shareholders and partners for their trust. Thank you again for your attention. We can now move on to the question-and-answer session.
Operator: [Operator Instructions] Our first question comes from Guilherme Grespan with JPMorgan.
Guilherme Grespan: My first question is about volume. If you could please add a little bit more color. We look at the volume of credit cards for SMB, we saw a decrease by 3% Q-over-Q. We just wanted to hear an update about how you have planned for your sales force, what do you expect the timetable for the sales efforts you have made in the last 12 months or 18 months to be? And maybe update us on how do you expect volume to evolve moving forward? And my second question is about the result in prepayments. We saw a substantial decline. I know that there was this project to increase penetration. And in the meantime, you also have a capital disciplined strategy within this product, but when we look at the results we see a material decrease. So I think there's this counterpart on the financial side. But if you could maybe give us an overview about how the dynamics in prepayment has been and how you guys see this moving forward.
Estanislau Bassols: So a little bit on the sales expansion initiatives and the expansion in the SMB segment. I think that one thing that's important to notice is what we're doing in SMBs transcends the commercial side. There were many changes we had to implement into our systems, on our logistics, our operations, our service, they're all maturing. And we had this investment cycle that was very important, we said that they would generate results, but these would be medium-term results. And now we're only beginning to reap the results of these initiatives. One good example of that, D1, the anticipation of only one day is proving critical for us to grow our sales. All of this is to say that expanding sales alone does not bring new results. We've made headway in our sales expansion. We are now reaping the results of these operational systems and product improvements. And when we look at the last quarter month by month, we ended the quarter in a much better position than we were when it began. So this was and has been a significant exercise that combines investments, this medium to long term view. And now also the short term results are beginning to emerge, both when it comes to this variable but also when it comes to Receba Rápido, when we look at the last three months, how this variable has performed. So the signs coming from the SMB segment within this quarter were very positive and they speak to the development of capabilities that we have had. So this is more about the development of capabilities combined with our sales expansion more than anything else. On the sales expansion itself, we are looking for even greater productivity. We are working for this to advance. Many initiatives have been taken on this end, some of them on the structural side, such as implementing sales force, others which are more on the tactical side, such as expanding the sales force on their day-to-day activities, but also the hiring cycle, how we are training and onboarding this sales team. All of this has been taken place just as I'm telling you now. So looking at the curve, our prospects are very, very bright.
Filipe Oliveira: I'd just like to add to what Stan just said. When we look at the final figures for the quarter, we see a significant decrease. But when we look at the percentage in productivity, we also see significant improvements month-over-month within the quarter, which allowed us greater optimism in the messages that we sent you. So as Stan has said, many of our investments in customer service, logistics and the customer experiences, in general, have led to better results in general and also our efforts in expanding the sales force has also been generating results. So we see the tendency stabilizing versus the decrease we saw versus last quarter. And this has what led us to offer this more positive message. Just looking at a few more indicators. When we look at the [crop] in June, this is something that we hadn't seen in a very long time with about 30 base points increase with a rational increase. I think that we are getting the formula right when we look at these variables. And as to ARV, there are a few important points that we must note. When we look at the revenue, we do see a one-off decrease. But this is the result of a very clear strategy that we have been detailing to the market in a few results, which is how to optimize our funding to generate greater results for the company in the long run. So what we saw was a decrease year-over-year of about BRL2.4 billion, which is 28% in volume. But on the other hand, the spread has increased by 3 percentage points in year-over-year terms. So a decrease by 16% in revenue. But that, combined with the decrease in the SELIC and the optimized pricing, leads to a managerial result of 26% increase year-over-year. So a very significant result, which we see as a great success on the financial side that's very clear, about BRL144 million year-over-year. So this is the result of a clear strategy that we've adopted and which has proven very successful.
Operator: Our next question comes from Thiago Paura with BTG.
Thiago Paura: It was interesting that when you were explaining the delta in the revenue yield, you mentioned the mix of customers and we saw some positive results. Based on the picture that you're seeing in June for the SMB segment, there was the one-off issue relative to Rio Grande do Sul, but prices also remained flat quarter-over-quarter. So I just wanted to touch on this last point, also making a connection to the competition scenario. Recently, Filipe actually talked a little bit about what the scenario looks like. So I just wanted to hear an update from you and understand what we should expect? What do you see coming from the competition and other players, how has this price battle has been in the industry at this point, just so that we can understand what we should expect moving forward?
Estanislau Bassols: Let me start by talking about the market. Right now, we see that the market will grow by something between 8% and 10%, which is a very, very positive surprise. But on the other hand, when we look at the penetration of cards in household income, that's at the same level of the more developed countries. So when we add a [PIX to B10], we're among the highest in the world. So the industry at large will grow based on new features more than anything else. So when I look at what the major players in the market are doing, we are all growing and improving the quality of our products and services and trying to become sort of a payments trifecta, to have payments with ubiquity, safety and simplicity. Everyone is sort of working on these three elements, to be safe, but also as simple as possible to increase the level of payments. You see that in what I mentioned before about D1, D1 is now essential to many of our clients. And again, we have just come in with this new category. And all of these changes show that the competition is a lot more focused in features and capabilities, which is why Cielo decided to invest massively in generating these new technological features, the new technological products, more so necessarily than focusing on prices. And we see shifts especially in small and medium businesses where players are acting very rationally, and it has been so for some time now. We know there are always questions about whether this balance is steady or not. But in an industry where out of every 100 in revenue, 80 comes from the same costs, interchange, rent fee, money cost and taxes, the room for us to play with pricing is very, very limited. So what I see is precisely the opposite. Players all making rational decisions. But on the other hand a lot of competition when it comes to the generation of capabilities. Even when it comes to what we said for previous cycles where players were maybe less rational, today, we see that situation is more stable. And lastly, if there's any point of attention is that we do see new players with prices that are sort of out of what we see as generating healthy margins. But this is normal and it also comes from the fact that we do not have that sharp focus on that right now.
Operator: Our next question comes from Kaio Prato with UBS.
Kaio Prato: We have two questions. First, just following up on the pricing issue. You talked a little bit about the entrepreneurial or the long tail segment where there are prices that don't really make a lot of sense from a profitability standpoint. And you, again, come from a place of a lot of rationality. But we also noticed, based on the study that we've run in all of your Web sites, that there's been a slight decrease in your prices from maybe two to three weeks ago to now, which also affects maybe the long tail segment. So I just wanted to understand this slight reduction in your prices, both in prepayment and otherwise. And how maybe you plan to -- despite this decrease, don't seem as aggressive as other players have been recently. So how do you plan to compete in this segment? That's one question. Our second question has to do with the decrease in staff expenses that we saw during this quarter. I just wanted to understand what the moving parts were in that case and what we should expect moving forward?
Filipe Oliveira: Well, first of all, talking a little bit about the long tail segment. These pricing segments with Cielo are very specific so that we have the right price point for each channel and each customer. This is more about small fine tuning that we are operating, so that we have the appropriate balance. There has been no change in strategy when it comes to pricing. The digital channel and the long tail segment are relatively small as far as we can see, and what we've done reflect the yield where with recent [crops] hasn't really moved. One important data, as I mentioned previously, is that our total crop from all segments in June led to an overall yield of 30 bps over the last quarter. So it really is about finding the right pricing point for each channel. So there has really not been any change in our strategy in that sense. So let's talk a little bit about expenditures. You mentioned specifically the personnel side. Let me just give you the big picture. We saw another very healthy quarter, a quarter where we were able to really grow below inflation again. And this is something we are very proud of being able to do, even including the commercial operation expenses. The company is still investing more heavily and our sales expansion has been concluded and is still going at full force ahead. We do not have anything planned for our sales team specifically. What we see in the personnel line that's more specific are two points. First of them, in the last quarter, we had an increase in provisions, which were disadvantageous for the company. We had an extra one-off expense that created a slightly higher baseline. And this quarter, we also saw moves in between lines, between expenses and revenue and expenditures. We moved an item that seemed more appropriate in a different line of expenditure. So there's not been any different expenditure here. I think that any company seeking for optimization is doing that type of movement, but there hasn't been any concern that we should mention here.
Kaio Prato: If I could just add another very quick question about a news report that came out a few days ago. How are you looking at these new moves around PIX? We saw a competitor saying that this new PIX feature will be accepted only in their machines. Do you see any type of exclusivity in this type of offer, such as PIX tap-to-pay from a bank being accepted only by a type of machine, because it seems not to be a directive from the Brazilian Central Bank, but I wanted to understand how you guys see it. And also from a technological standpoint, do you feel ready to maybe also make this type of transaction of tap-to-pay PIX on Cielo machines?
Estanislau Bassols: I'll start by answering more broadly about PIX and then I'll address your question more specifically. Our PIX operations continue to grow. And the good news for the industry is that PIX via dynamic QR code is growing more quickly than the other two types. Our ability to also upsell PIX solutions is also outgrowing the market, which is great news for the industry. And now specifically to your point, our ability to accept payments -- tokenized payments from a specific portfolio has also been established by our POS. And so payments with tap-on-phone with PIX code on your wallet is perfectly possible, and I would say it's actually simple to do. However, there are two elements that we may look at. First of them, the Central Bank should soon regulate the tap-on-phone PIX payments soon, which will allow the market to organize themselves. And second, even because of our history in payments, I'm very convinced of, and I've talked about this before, but I will repeat it. We should focus on the safety, security, which exist here in this payment. But there's another element to our trifecta, which is simplicity. If you try to make payment somewhere where it will work with on POS but not with another, I think this will be more complex for the industry as a whole. I see any innovation in the industry positively, because it forces us to move forward. So I think it's positive. But again, our choice has been to go for anything that's more ubiquitous. Again, the capacities or the abilities are now given and they're easy for us to adapt.
Operator: Our next question comes from Silvio Doria with Safra.
Silvio Doria: Well, my questions have been answered, but if I could add two more. First of them about customers, about the evolution of your active client base. How much of an inflection are you seeing in this client base? And my other question more on the commercial side. How much of your sales force expansion in the last few quarters has reached maybe an optimum level in commercial terms?
Estanislau Bassols: Well, let me start by your second question. The expansion of our sales team is now evolving in terms of productivity. So it's safe to say it has not yet reached the level that we want and expect. We expect a lot more. The learning curve that we're living, remembering that part of that expansion took place with a support from the agencies of the two banks that are our partners and our sales partners, and we're learning a lot. The support to our sales has proven a lot more efficient than what we had in our door-to-door operations. And so it's more about a manager and a logistical operator more than a sales person, and we've learned that during that process. And having the right profile allows us to adapt, but it's been a fast adaptation process. And more specifically to your point, Filipe mentioned this, and so did I, when we look month-by-month during the second quarter, we do see productivity going up very clearly. So this increased productivity, when we look at the end of the quarter, the last month of the quarter, has been the most significant, which is very exciting.
Filipe Oliveira: And if I could just add something, being very clear to you. The company’s strategy is not to have that decrease. For a very long time, we've sought to reverse that trend and I think that we're on the right path to do that. As for the expansion of the sales force, which was your second question, we see potential gains in productivity that are very significant. We're doing this very responsibly. We do not believe that expanding continually our sales team is sustainable versus a healthy balance for our market. So we respond based on our long term strategy. We are willing to lose some market share, considering this very important variable, which is to mature our sales team and have the right level of productivity with them.
Operator: Our next question comes from Eduardo Nishio with Genial Investimentos.
Eduardo Nishio: We have two questions. The 14th of the month is coming and we know this is a day that might change the company's strategy. So say the most likely thing to happen actually happens, you're essentially controlled by your two major shareholders, which are banks. I just wanted to understand the banks' strategy in this scenario. If you could share with us an important point in terms of distribution, products, technology, new features that you've mentioned so far a little of, but were not specific in terms of new -- the launching of new solutions. And my second question has to do with that as well. At the end of the second quarter, you guys launched the one day automatic receipt feature. And we see other competitors with this product or even better, a D+0 solution. So how do you see the launch of new solutions in this segment, what's been on your mind in that sense?
Estanislau Bassols: Let me start by talking about strategy. If we look at the last two years, we have been on the path of believing that the expansion in sales, increasing synergies in the banking distribution channel with Bradesco and Banco do Brasil was an alternative, which was not only feasible but profitable and not only profitable but could generate additional potentialities for us in terms of growth. So along those lines, we improved our entire SLA for assistance to agencies. We've improved our processes and the automization of these processes. We've made some great choices according to our governance to improve Receba Rápido once we identified that it is critical for us to -- for the sale of payment processing solutions to occur steadily, all of that to grow in synergy and interaction with these two banks, and for that and for our strategy to work for both the listed company and the unlisted company. Within these capabilities, another thing we've been working on that I think speak to all the other questions I answered before is to develop the company in a systemic way, so that we have the agility required to respond to these changes, whether they are imposed by the market to the point of the previous question or those that come as major opportunities in a very agile way. So there's a lot that we'll learn once the company is delisted, if that actually happens, but the strategy remains the same. And I think that it has been implemented to generate results. And many of the results we've seen at the end of this month already relate to the changes we see in productivity levels in these agencies. So no news there. I just wanted to add another element. One change that seems small, which was the change in incentives that took place at the last quarter of last year, it requires a lot of energy from the company, because we've always done this, and I've said this from day one that good governance and restricted governance in a listed company is very important. So we've had many analyses, we've had discussions with distributors on the other side of the counter that also needed adequate pricing, so that price has worked for both parties. So this is a process that requires a lot of time and energy from a lot of people. And we believe this process will become more seamless if we are delisted. But the timing should be faster also, which might change our execution but not necessarily our strategy. So your second question was about D0, right? Well, as simple as D1, again, this was because of a technological evolution. We are working to be able to offer D0 as well, but we are working on that from several different standpoints. From the technological standpoint, so that we are able to offer D0 with minimum chance of fraud with quality for our customers but also on the risk side to make sure that our models allow us to have the lowest possible fraud levels. One concern I have about D0 as an industry when it is not developed that way is that ultimately your fraud levels are too high, including fraud in the transactions we call with a TPIN where the merchant disappears the client is at a loss. And in this four part relationship, we see a critical aspect, which is the responsibility of the payment processor, because that transaction has to be clear. So we will be working on D0 but we will do that in a safe and well developed way.
Eduardo Nishio: If you allow me another question. Is there any way to prevent this fraud with TPIN?
Estanislau Bassols: Well, one way is to prevent those merchants from having the AML. And while customer, that's well done on the one hand and on the other hand, to look at that essentially transaction by transaction. And whenever there's a transaction that is showing the pattern, we need to stop that. So it's about the basic payment technology. But when you have D0, you need to be more specific to have the requirements adjusted to the level of risk that you're dealing with. So in one way, D1 was an advancement that definitely allows us to enter this market and to have more data to model for those things. And I believe that soon we'll be operating D0 as well. But paying as much attention as this issue requires thinking not only about our customers but about the industry as well, because another important thing is to make sure that every charge back and canceling relationship is well worked on throughout this journey.
Operator: This concludes today's question-and-answer session. I'd like to invite Mr. Bassols to make his closing remarks. Please, sir, you may proceed. A - Estanislau Bassols This is an interesting time in the company's history, a very special one at that. We had a very significant wave of improvements that took place between 2021 and '23, but which is still underway. We've made the company leaner in the economic sense. We reduced the base of costs we work on, we created important technologies when it comes to pricing and we reaped very interesting results. The second wave began at the end of 2022 with Pra Cima Cielo, which allowed us to generate capabilities and is going alongside an industry that's eager for novelties and we are keeping up with that. Everything that we've worked on recently was with optimism about what we do with our large accounts, with greater capabilities to work with government, work with toll booths and in all other flows, such as the B2B flow and also in regards to what we do for small and medium sized companies, as I said earlier, with D1, the introduction of sales force, the changes we're doing on our sales departments, the improvements in balance, automatic service, predictive logistics, which allow us to work with solutions to our customers before they even notice any problem. So we are reaping the results of all of that. And when we look month by month in the last quarter, we're very excited in seeing that we are on the right track. I think that sums up our focus and what we've been doing. Thank you so much.
Operator: This concludes Cielo's conference. Thank you for joining us, and have a great day.